Operator: Thank you for joining the Greenlight Re Conference Call for First Quarter 2018 Earnings. Joining us on the call this morning are David Einhorn, Chairman; Simon Burton, Chief Executive Officer; Tim Courtis, Chief Financial Officer; and Mike Belfatti, Chief Operating Officer. The company reminds you that forward-looking statements that may be made in this call are intended to be covered by the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Forward-looking statements are not statements of historical fact, but rather reflect the company's current expectations, estimates, and predictions about future results and events and are subject to risks, uncertainties, and assumptions, including those enumerated in the company's Form 10-K dated February 20, 2018 and other documents filed by the company with the SEC. If one or more risks or uncertainties materialize or if the company's underlying assumptions prove to be incorrect, actual results may vary materially from what the company projects. The company undertakes no obligation to update publicly or revise any forward-looking statements whether as a result of new information, future events, or otherwise. Please note this event is being recorded. I would now like to turn the conference over to Greenlight's CEO, Mr. Simon Burton. Please go ahead, sir.
Simon Burton: Thanks, Denise. Good morning everyone and thank you for joining us today. During the first quarter of 2018, we experienced a capital drawdown of 17%, driven by negative investment results. We are well capitalized and our underwriting portfolio has a volatility profile that compares favorably to many of our peers, as we demonstrated in our resilience to recent Hurricanes, wildfires, mud slides, and winter storms. This low volatility allows us to absorb occasional and sizable investment losses. There is a loss of capital in the first quarter was certainly impactful, our interactions with external stakeholders and proactive ecosystem through periods of volatility focused on managing risks and building long-term value. Across many years of working with regulators and rating agencies, it's my experience that profitable and sustainable underwriting results are a necessary condition for a rated company. We agree with this perspective and our day-to-day efforts are focused on the quality of our underwriting pipeline and underwriting decisions. We have made deliberate changes in the areas of personnel, processes, risk appetite, and business mix that have had a positive impact. With that said, I'm pleased this quarter to report the combination of a small prior period reserve release and the current year underwriting profit, a combined ratio for the quarter was 98.3%. I'd like to comment on the U.S. tax law changes of last year that impact the reinsurance industry. We have concluded that the rules determining passive foreign investment company status have the greatest potential to impact our operations and shareholders. To be clear, the dominance of our day-to-day reinsurance activities and risk profile do not support the PFIC designation, but the law change has put more emphasis on balance sheet arithmetic than a qualitative assessment. We have reviewed the new rules and the various options available and are working on plans to ensure we will not be deemed to PFIC. In March, we launched Greenlight Re Innovations with a mandate to partner with technology and risk enterprises with insurance applications. Mike and his team have generated a long list of opportunities from which we have identified a combination of the best ideas and most talented teams to progress partnership discussions with. We expect to build on our progress through 2018, and estimate that in 2019, we will start to see meaningful business flow from the unit. Exactly a year ago today, I met with the Greenlight Re Board of directors to describe my vision of how relatively small reinsurance company can compete with peers with larger balance sheets and greater reach. It's all boiled down to a simple conclusion and that's an attempt to fight the battle of scale to grow and dilute expenses would be right with unnecessary execution risk and that we should instead focus on operational excellence and innovation. At that time it wasn't clear how long it would take for disruptive forces to emerge and validate further action, but today it's evident that change is closer than the industry is prepared for, we all busy equipping ourselves for the future and I look forward to the changes ahead. Now I'd like to turn the call over to David.
David Einhorn: Thanks, Simon, and good morning everyone. The Greenlight reinvestment portfolio declined 11.8% in the first quarter. Our longs detracted 5.2% and our shorts detracted 6%. Despite a good earnings season for our portfolio in which most of our largest divisions reported fundamentals that were consistent with our investment thesis, we managed to lose a bit of money on most divisions with no material winners to offset the losses. Perhaps some of this can be explained by growth stocks continuing their historic outperformance over value stocks in the first quarter. Regardless the quarterly result was one of our worst. The biggest winners for the quarter include our long position in Micron Technology and our short position in Tesla, though neither was particularly material. We did not have any very large losses either. The biggest however were our short in Netflix and our long in General Motors. Netflix advanced 54% in the first quarter. The company added 2 million more subscribers than expected, but the cost to acquire each marginal customer rose, as the company increased spending on content marketing, technology, and development. As a result, free cash flow is deteriorating after burning $2 billion in cash in 2017 Netflix is guided to $3 million to $4 billion cash burn in 2018 and expects to be free cash flow negative for several more years. In our view Netflix has demonstrated an ability to turn cash into subscribers but not the ability to turn subscribers into cash. It is difficult to explain why General Motors declined 10% in the quarter. GM reported a very strong fourth quarter and gave guidance far ahead of consensus for both 2018 and 2019, which ordinarily would lead to a good stock performance, especially given GMs undemanding valuation. Our experience with GM extended to a number of our other our core long positions which offered strong results and of course stock price performance. While we maintain conviction our investment theses, we were focused on reducing our gross exposure through the first quarter. The investment portfolio is currently 93% gross long by 65% gross short and began the year at 101% long by 67% short. We recently disclosed a hedge position, where we are long Puerto Rican debt, and short the stock of a short guarantee, a bond insured with significant exposure to municipal bonds that are now rated below investment grade including a heavy concentration in Puerto Rico. We think AGO's proprietary rating system does not adequately reflect the credit deterioration. We believe actual losses will be higher than management's accounting for. The company's aggressive capital return plan might be good for shareholders in the short-term but negative for both of them and policyholders in the long-term. We exited a handful of positions during the quarter including Camorra's and Uniper with profit and a coupled industrial shorts with small losses. The investment portfolio returned minus 0.5% in April in what was a nondescript month. Simon, Mike, and the rest of the team have done a phenomenal job revamping our underwriting and reserving processes in a short time period. While I'm glad we showed a positive underwriting result during the quarter and even more excited about the long-term prospects for Greenlight Re as the team continues to reassess and improve in every operating area. Now I'd like to turn the call over to Tim to discuss the financial results.
Tim Courtis: Thanks, David. For the first quarter of 2018, Greenlight Re reported a net loss of $142.8 million compared to a net profit of $8.4 million for the comparable period in 2017. The net loss per share was $3.85 for the first quarter of 2018 compared to fully diluted net income per share of $0.22 for the same period in 2017. Gross premiums written in the first quarter of 2018 were $175.1 million which is a reduction of 11.2% from the prior year period and net earned premiums decreased by approximately 4%. Decrease in both premiums written and earned was primarily due to the non-renewal of a Florida homeowner's contract during the fourth quarter 2017 as well as the non-renewal of certain professional liability contracts. The composite ratio for the first quarter of 2018 was 96% compared to a composite ratio of 97.4% during the comparable period in 2017. This quarter's composite ratio benefited from favorable reserve development on property business from reduced claims estimates from 2017 hurricanes and favorable claims experience on mortgage insurance contracts. The favorable development was partially offset by adverse development on solicitors professional indemnity contracts. Overall, we realized favorable prior period reserve development of $2.7 million during the quarter. General and administrative expenses incurred during the first quarter of 2018 decreased slightly to $6 million compared to $6.7 million incurred during the prior year period. Underwriting expenses of $3.5 million for the first quarter was slightly lower compared to $4.1 million incurred in 2017, primarily as a result of slightly lower accruals for quantitative bonuses. The underwriting expense ratio for the first three months of 2018 was 2.3% resulting in a combined ratio of 98.3% for the quarter. Our corporate expenses of $2.5 million for the first quarter were basically flat when compared to the prior year period. We reported a net investment loss of $145.2 million during the first quarter of 2018, representing a return of minus 11.8% on our investment portfolio managed by DME Advisors. The fully diluted adjusted book value per share as of March 31, 2018, was $18.35, a decrease of 22.1% from $23.57 per share reported at March 31, 2017. At a recently held Board of Directors meeting, the board approved the renewal of the company's current share repurchase plan which expires on June 30 of this year. The plan provides for a repurchase authorization of 2.5 million shares and will expire on June 30, 2019. There were no shares repurchased during the first quarter of 2018. Greenlight Re held its Annual General Meeting on April 25th. I'm pleased to report that all seven proposals contained in the proxy were approved by shareholders, including the reelection of all directors for additional one-year term. And finally, we would welcome everyone to join us on November 15 for our Sixth Biannual Investor Day which will be held at the French Institute in New York City. Further information and notices will be provided closer to the event. I would like to turn the call back to the operator and open it up for questions.
Operator: Thank you, sir. We will now begin the question-and-answer session. [Operator Instructions]. Your first question will come from Bob Glasspiegel of Janney Montgomery Scott. Please go ahead.
Bob Glasspiegel: Good morning, Greenlight. A couple of data questions on the quarter. I saw that you had some favorable development and catastrophes from 2017; was there any other catast -- catastrophes in the quarter?
Simon Burton: Hey Bob, it's Simon. There was no meaningful activity this quarter specifically we didn't have anything from winter storms.
Bob Glasspiegel: Okay. I was encouraged to see overall favorable development maybe a little bit more color on the surety and professional liability that we go?
Simon Burton: Sure, Bob. Thanks. I'll ask Mike to jump in.
Mike Belfatti: Hi Bob. Good morning. The surety was a handful of larger claims, two new reports were current exiting year, but movements on about two or three other claims in prior, not too much to say about that, we've taken a close enough look to feel that it's -- that those radius idiosyncratic in nature, obviously we're keeping a close eye on it, but currently it just seems like it is idiosyncratic adverse development in long legacy surety deal in particular. The solicitors we've -- you've seen this before, it's something we've been actively monitoring and during aggressive claim oversight on certainly for some time now. I think the progress on getting our arms all the way around is I think has been pretty substantial. So but we did see enough movement to still want to go a little bit higher this quarter. Again as with the surety, it's something we are closely watching. Both of the books are legacy meaning they're not things we're currently writing, but nonetheless obviously we're closely monitoring both books.
Bob Glasspiegel: Great, a little more color on the A&H growth?
Mike Belfatti: The A&H book is, I think reasonably static, Bob, something we're not expecting, there may be sort of year-on-year movement but we're not expecting to grow that book materially, it's not the class of business that we are on an upwards trajectory on for sure.
Bob Glasspiegel: Got it. One question for David. First quarter tested your risk controls given the turbulence in some of your positions, you mentioned bringing down your gross exposure, were there any other tools that came into play?
David Einhorn: Yes, there was some reconfiguration of parts of the short portfolio to emphasize some more options.
Bob Glasspiegel: Okay. And does that tie at all into the brightline test?
David Einhorn: No, that's just an investment choice.
Bob Glasspiegel: Okay. Because I thought I understood that using options instead of shorts would be one way to help with the arithmetic calculations?
David Einhorn: It's quite possible we will be making changes to deal with the brightline test in the coming periods but the changes within the portfolio this quarter were not with one eye on that.
Bob Glasspiegel: I understand. Thank you.
David Einhorn: Sure.
Operator: And the next question will be from Brian Meredith of UBS. Please go ahead.
Brian Meredith: Yes, thanks, couple ones here. First one, I’m just curious, Simon, can you talk a little bit about what your perceive capital cushion is now? And how much more potential equity you could lose, given potential more adverse investment results without rating agency actions?
Simon Burton: Hey, Brian. So we -- there are different ways to look at capital obviously. Our internal view is that as we examine risk in every direction on all sides of the balance sheet and accumulations to triggers of exposures, whether it's capital investment risk or sort of some actually connected risk let's say. We consider ourselves to be very well capitalized. We have run a relatively low volatile insurance portfolio and we internally would consider our profit to be substantial. Rate agency models are different of course and as you know A.M. Best has in particular are going through a change, a recently implemented a change in their model. And we are working through that process with them and it’s all being constructive so far but of course that’s for them to indicate as they move through the process of running their models.
Brian Meredith: Great, thanks. And then another just quick one here, as far as market condition, Simon, it seems like one of the Sabre coming out is that the Lloyd's marketplace continues to be more disappointing from a pricing perspective? Does that change your view at all on kind of what's your potential strategy here as going forward with the portfolio?
Simon Burton: We've been very clear on our strategy at least internally, Brian. We consider the market at large to be permanently in some difficulty given its current structure. Now the structure is important. We do feel that expenses -- the expense range through the chain of placing insurance and reinsurance programs is a problem and needs to be dealt with. It’s not a problem that we have at Greenlight Re. Our expenses are very manageable and will always be so. So to the extent that we are expecting the industry at large to make some interesting changes over the next few years, we are positioning ourselves to that eventuality in part that transacting business efficiently, quickly, and sensibly here traditionally and in part it is the strides we're taking to develop innovative products and building partnerships on technology-driven products there. I'd be happy Mike to give you some more color on our progress there if that's helpful to you. But this is very much a direction of the company that will be increasingly important to us over the next year or two. Mike, you want to add some color?
Mike Belfatti: Yes, Brian I would just sort of echo the pervasively difficult conditions for traditional products and traditional markets with Lloyd's in particular for example, Lloyd's is and we believe pretty much always will be an interest place to transact business. But the conditions are still difficult and so short growth in traditional products of almost any variety would be having somewhat difficult to foresee or even justify. We are doing a lot of work in the innovation space as we announced recently, it’s generally aimed at new products and services, at higher margins, at better revenue opportunities, obviously the connecting topic throughout what we're looking at is technology and as you probably know in tracking the space, technology in our industry is going to have really a multi-various impact. Operational expense efficiency is an obvious one, improved customer experience is something that the industry hasn't been super grade at and is but is getting better at and will continue to. Technology for risk and underwriting is something that a lot of people are focusing on and then the other thing that we emphasize in some of our public statements is physical technologies actually improve hazard event outcomes and make individuals and businesses have better experiences with respect to hazard events all together prevention, mitigation, safety, security. All of these elements are creating sort of a wide range of interesting opportunities and we are through our Greenlight Re Innovations unit we are sort of actively pursuing this. We do think that as Simon mentioned we do think that lean expense phase is part of the equation here because the pervasive difficulty in the traditional market require expense efficiency. At the same time, the deployment of effort toward new direction we think gives a firm like ours sort of a chance to punch above our weight perhaps more than people immediately realize to that, that's what we are working on.
Operator: The next question will be from Jason Stankowski of Clayton Partners. Please go ahead.
Jason Stankowski: Hi guys. Can you hear me?
David Einhorn: Sure.
Simon Burton: We can, Jason.
Jason Stankowski: How are you? I was curious if you could comment on why no buybacks during the quarter?
Simon Burton: Tim would you like to comment?
Tim Courtis: Yes. Go ahead, David?
David Einhorn: You can go, it's fine. I'll go after you, if you like.
Tim Courtis: Yes, so Jason obviously we are constantly monitoring our capital position and obviously where the share price is trading relative to our book value. As you can appreciate with a 17% drawdown in capital, we do need to be aware of the amount of capital we have and we made the decision during the quarter that it just wasn't the right time to be buying back shares. As I mentioned the board did renew the buyback program and we will continue to monitor it and certainly when the capital and the price is right, we could consider it.
Jason Stankowski: Okay. I guess the gist of that is with the portfolio being down 11.8% you said a drawdown of -- you're saying the 17% was year-over-year. If I look at our tangible book value just coming into the year, I thought it was around 22% in the quarter and that was 18.35%, so that's a -- in my matters, it's about 18.5% drawdown from the end of the year, am I looking at that wrong?
Tim Courtis: No, your calculation would be on. Go ahead, David.
David Einhorn: You're fine, Tim.
Tim Courtis: Yes, I guess the calculation is different on just pure capital, the capital that we report on the balance sheet versus the book value per share obviously the calculation of what is the denominator and the numerator in that would affect the percentage. Obviously the difference between the 11% in the investment return, the effect of flow causes either a benefit or negative depending upon your investment return.
Jason Stankowski: Right, right, okay. So we lost an additional 5.5% beyond the portfolio returns during the quarter through operations and write-downs and just the effect of running the business essentially?
Tim Courtis: No, that's not correct.
David Einhorn: No, that's --
Tim Courtis: The difference is the leverage in the portfolio created by the flow. So for every dollar of equity in the book there is around a $1.60 invested in the portfolio, so you multiply out the return on the portfolio times the leverage to get the change. The operation in the business were actually outside of the investment were actually profitable during the quarter.
Jason Stankowski: Okay, great. Thanks for the help and continue with that, that's super helpful. And then I guess lastly maybe for the whole team as you look at "new products" to kind of get outside of what doesn't seem to be a very good traditional market, how do you look at sort of the tail, you are willing to take when I hear new products in insurance I always wonder, how do you underwrite new things one of the benefits usually is looking back at actuarial and other assumptions and trying to understand the past and just curious what types of new products if you're able to talk about competitively or just conceptually what would we expect to see in the insurance book going forward and how do you think about them, I guess most importantly?
Simon Burton: Okay, Jason. It's Simon here. So we think about this in a few different ways. Firstly, we have entered some classes of business that are new to Greenlight Re at January 1st around January 1st and particularly in the London market specialty business. These are very traditional classes; they're classes where management has a great deal of prior experience and contacts. And we do this in a very cost effective way which makes the entry point economic for us. In terms of the tail exposure, as I said, there is a great deal of experience in understanding and managing the exposures from the specialty classes. They are typically quite short tail in any case. So that's the first category. The second category is really what we expect to get through and out of our innovations work over the next couple of years. And keep in mind that a lot of this effort will produce products which will seem quite new, but in many cases they are new because of particular customer experience or because of a particular way of transacting the business that seems extremely efficient compared to the traditional markets today. So some of it might purely be expense savings as opposed to a new and strange or unusual particular exposure that we don't have any experience of. We are -- we would expect to be deeply experienced in any of the classes that we write, but the product itself could be an interesting and new twist on it; if that's helpful?
Operator: The next question will be from Michael Eversole of Solo Capital Management. Please go ahead.
Michael Eversole: Yes, hello, thank you for taking my quick questions. And the first one is on the recent approval for increased share repurchases announced so far and increasing the number of shares available for issuance and for the stock incentive plan, if you could comment on the rationale behind the increase that would be helpful. The other question is I see and you comment on the 10-Q, that you switch your exposure in gold from physical to futures, if you could comment on that? And lastly, I was curious perhaps due to regulations or some other constraint or this is impossible, but I was curious if the portfolio could be repositioned and to even go net short in case this bubble we're on finally explodes or bursts and you feel like the D-day for the shorts arrived. And for the record, I think that going forward you’re going to make money in the long position, you’re going to make money in the short book and I think you're going to win money in the gold exposure as well. So not that short is separate condition for doing well in my view. Thank you.
Simon Burton: Michael, it's Simon here. David so let me take the first part and I'll direct it back to you if it’s okay. The share buyback approval is essentially to give us the flexibility we need to operate the business and make the right decisions for our shareholders at the right time, it doesn’t signal any particular direction over the next 12 months. David, would you like to add to that or the other questions that Michael asks?
David Einhorn: Yes, I think that covers the buyback correctly. Relating to the gold, sometimes we don't get gold and sometimes we don’t futures and sometimes we balance it between them. And I don’t believe that there is substance to the change in the economic exposure that comes from those variations over time. There is sometimes little bit of liquidity that comes into the thinking or some other types of financial calculations. Relating to the positioning of the portfolio is net short, we’ve never been net short before, I would not anticipate that we would be net short at anytime in the future. Our general view is that the market does go up over time and we prefer to have a net long position. That being said we are rather conservatively positioned and we’re on some of the lower end of demand in terms of our net exposure right now. Align are thinking with some of the views that you just expressed and we would be excited to make money on our longs or shorts in our gold position it feels at the moment the opposite is what's happening and we look forward to you being proven right in your prophecy there.
Operator: The next question will come from Menaul Minta [ph] from [indiscernible]. Please go ahead.
Unidentified Analyst: Hey guys, two questions. The first question can you please tell us more about your investment agreement with the Greenlight Funds, do they have to recoup losses to earn the 20% incentive fees and with the heavy concentration in your investment portfolio and I believe over 90% is invested in equities, how do you ensure Greenlight doesn’t take prudent risk at the expense of policyholders to start re-earning performance fees, just tell us more about balancing the conflict of interest between Greenlight's desire to maximize performance fees and having adequate capital for policyholders?
Simon Burton: Hi Menaul, this is Simon. Let me ask Tim to describe the first part of your question and the agreement we have with DME, I will take it up from there.
Tim Courtis: Yes, certainly Menaul, the investment advisory agreement provides that in the event that there is a loss on the portfolio, there is a high watermark in terms of performance fees going forward thereafter. The performance fee dropped from the 20% down to 10% until such time as the loss that was incurred is recouped plus 150% of the loss. So yes there is a 10% fee going forward but they really have to recoup two-and-half times the loss in order to get back to the 20%, so that's how that is structured.
Simon Burton: And on the second part of your question, as I mentioned earlier, we think carefully about risk management in all directions on both the liability and the asset side of the balance sheet. Our liability side of the balance sheet is run contemplating all directions of risk. So you would -- when you compare us to many of our peers in the reinsurance industry, we run considerably lower risk leverage than many others on accumulating exposures like catastrophe or financially connected exposures that's two examples of largest accumulating sources of risk. And that's because we're mindful that there is some volatility on the investment side of our business. We furthermore, as you've heard, earlier the comments around the relatively challenging marketplace, we believe -- we firmly believe in the model and the value that a dual engine brings to our shareholders. So that's both the ability to deploy our assets in David's strategy and to deploy them into interesting opportunities in the reinsurance market. We do overlay a holistic let's say view of risk for both sides of the balance sheet to a very comfortable where we are and it is given deep thought at all times.
Tim Courtis: And, Menaul, it's Tim again, just to clarify a couple of points. We are not investing in the hedge fund itself. We have our own separate accounts. We have our own separate individual shareholdings and that provides -- we have investment guidelines and liquidity requirements and certain investment restriction that are part of our investment guidelines to ensure that we have the liquidity and there is not in our opinion the unnecessary risk taking. And I think one of your points was the alignment of interest. David is our largest shareholder and certainly as the economics for him it is the same with other shareholders --
David Einhorn: Not shareholders.
Tim Courtis: Certainly there is a definite alignment of interest in that respect.
David Einhorn: With policyholders not shareholders. So Greenlight incentive to maximize investment returns and take risk to increase performance fees that comes to the expense of capital for policyholders, so if you are a rating agency and you look at a 17% drawdown coming from risky investments, how do you balance rating risk and policyholder capital versus a desired and maximized investment income.
Simon Burton: Our desire is to maximize both the absolute and the quality of the returns to all of our shareholders and that's a very clear objective. We believe the best route to maximizing that the quality of return is the present balance of exposure to both reinsurance risk in a relatively more modest rate for the reasons I described and to the investment strategy with DME.
Unidentified Analyst: Got it. And my second question was in your last earnings call you had mentioned that a new set of eyes led to any increase in loss reserves. Can you tell us more about the internal models that you're using for estimating losses and what controls do you have in internal model?
Simon Burton: Sure I'd happy to Mike jump in that, please.
Mike Belfatti: Sure, Menaul. So we use a number of different methodologies to estimate ultimate losses. Traditional actuarial methods is that the heart of it frequency severity methods, loss development methods the sort of the usual methodology that you'll see across the industry. We also have certain types of exposure that require more detailed claim individual claim drilldown and projection off of individual claim estimates for one or more claims. So we -- so the baseline is a lot of traditional actuarial method. Around that we have a number of controls that are important to me and that we’ve installed since I came or expanded or strengthened since I came. Greenlight Re always had external independent validation of its reserves using an external actuarial firm and we have actually expanded that process to get even more sort of sets of eyes on the reserves externally. That as a control is simply to have someone who is just outside the company and of course is seeing a lot of other companies weigh in on what they’re seeing for us. So we’ve continued the process from that existed from before I started but we did expand it in terms of actually having sort of extra sort of eyes externally. That's one control, I would list two others in particular we’re calculating mechanical method estimate for each of our contracts that is based on if you will sort of no human touch approach. The idea is that of course a big risk in our industry in reserving is where you have rose color glasses or other sort of bias that the -- an analyst themselves might be putting on to the process. And so we have installed basically a comparative point called that I call mechanical method. So basically say every quarter we’re going to compare the selective results to fixed -- to a fixed reference point if you will, the metaphor is sort of if you’re drifting in the ocean and you can’t see land, you actually have no idea of which direction or how fast you are drifting but if suddenly there is a buoy out there, you quickly can tell whether you’re moving closer further away from that buoy. So we didn’t saw that since I started and I found that to be actually a very, very helpful reference point in my prior stops in the industry. The other thing that I’ll make quick reference to as a control is tracking the changes in parameters that we do. So in effect what you want to be able to do is as you change judgment, you want them to be transparent, you want them to be documented, you want them to have rationale behind them. And our industry candidly sometimes has not necessarily the high standards on documenting and disclosing and/or making visible the analytical judgment that are being made, so they can be tracked over time as well. It’s another way to kind of keep track of potential bias or to manage potential bias and in property casualty reserving that’s sort of super important. So those -- and I will stop there, those three things in addition to the core of traditional actuarial analysis describes some of the changes we’ve made to really improve the experience over time we hope.
Operator: The next question will be from William Arms [Ph] a private investor.
Unidentified Analyst: Good morning guys, can you hear me?
David Einhorn: Certainly.
Simon Burton: We can William, thank you.
Unidentified Analyst: Quick question to David, with the latest losses in the investment portfolio we are something like 3% annually since the IPO from the investment side, is there any point at which we look at revising the comp structure for DME?
David Einhorn: No, the comp structure itself reflects in a sense that in view of the losses from 2015 and carrying over here, we’re operating at or reduced incentive fee and will be for quite some time until we recouped that plus recouping it again plus recouping it another half of the time. The board does review the investment manager contract periodically, but for now, I wouldn’t expect there to be any change.